Operator: Welcome to the Sysco second quarter fiscal 2010 earnings call. As a reminder this call is being recorded. At the time for opening remarks and introductions I’d like to turn it over to Neil Russell, Vice President Investor Relations.
Neil Russell: Good morning everyone. Thank you for joining us for Sysco’s second quarter fiscal 2010 conference call. On today’s call you will hear from Bill DeLaney, our Chief Executive Officer, Ken Spitler, our Vice Chairman, President and Chief Operating Officer and Chris Kreidler, our Chief Financial Officer. Before we begin, please note that statements in the course of this presentation that state the company’s or management’s intentions, beliefs, expectations or predictions of the future are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could differ in a material manner. Additional information concerning factors that could cause actual results to differ in a material manner from those in the forward-looking statements is contained in the company’s SEC filings including but not limited to risk factors contained in the company’s annual report on Form 10-K for the year ended June 27, 2009 and in the company’s press release issued earlier this morning. Please understand that all comparisons given during the call refer to changes between the second quarter of fiscal 2010 and second quarter of fiscal 2009 unless otherwise noted. Also, all comments about earnings per share refer to diluted earnings per share unless otherwise noted. With that out of the way, I’ll turn the call over to our Chief Executive Officer, Bill DeLaney.
William DeLaney: Thank you Neil and good morning everyone. On the second quarter of fiscal 2010 Sysco reported net earnings of $268 million and earnings per share of $0.45 which is up 12.5% compared to the prior year. Sales trends improved throughout the quarter with the year over year rated decline swelling to only 3%, a result largely driven by deflation. Notwithstanding the challenging economic conditions, operating margin improved due in part to the favorable impact of COLI as well as excellent cost control throughout the organization. Ken will discuss this in more detail in a few minutes. Despite these challenging times, we remain steadfast in our commitment to helping our customers achieve their objectives. We are executing well and reinvesting in our business. Challenges have historically provided opportunities for Sysco to further differentiate ourselves in the marketplace because our customers increasingly look to us for support and business solutions. As the industry leader, we have an unsurpassed ability to leverage our size and scale to benefit our customers. Our financial results for the quarter reflect the disciplined operational execution and excellent customer service to operating companies each and every day. While encouraged by our financial and operating performance today, we remain committed to continuous improvement and consistently look for opportunities to gain additional efficiencies in this competitive industry. For example, our business transformation project remains on tract with the objectives discussed at our investor day in December. We expect the improvements driven by this multi-year project will allow us to grow sales, reduce operating costs and more effectively utilize data in our decision making. Now, I’ll turn things over to Ken so he can provide further detail on this and other operational improvements and how we performed in the second quarter.
Kenneth Spitler: I’d like to start by thanking our operating companies for their hard work during the quarter. These results reflect their dedication to our customers and to helping our business succeed in challenging times. Our sales during the quarter were impacted by deflation of 3.5% which is measured as the estimated change in the cost of products we buy. Deflation from dairy and beef products had the largest impact with the balance spread across several categories. On a year over year basis, deflation pressures appear to be moderating from the highs we saw earlier in the quarter. Our operating margin improved to 5.2% in the second quarter. While COLI contributed to this improvement we also significantly reduced payroll expenses and improved productivity in all aspects of our business. We have continued to manage head count in a manner consistent with the sales environment throughout the entire organization. Our head count is down 4% year over year and 10% over two years as we improve productivity throughout the company. Operationally, we continue to focus on productivity which is evident in many of our key operating metrics on a year over year basis, but the progress of our operating companies have made is even more clear on a two year basis. For example, in our U.S. Broadline companies, our diesel gallon usage is about flat with last year’s second quarter but is down more than 10% compared to the second quarter of 2008. Cases per trip increased 3% year over year and 4% versus two years ago. Warehouse cases per man hour improved 8% year over year and 15% versus two years ago and we improved our error frequency per cases shipped from an error rate of one out of 1,229 in the second quarter of 2008 to an error rate of one out of 1,799 this quarter. Capital expenditures for the quarter totaled $138 million. Looking ahead we still expect capital spending for the full year to be in the range of $600 million to $650 million as we continue to invest in our business. This spending includes maintenance items such as ongoing fleet replacement and facility repairs as well as growth items such as expansions of our current facilities, potential fold outs and technology. Technology spend includes capital related to our business transformation project. Now I’ll turn it over to Chris for a discussion of our financial results for the quarter.
Chris Kreidler: Thank you Ken. As previously discussed for the second quarter of fiscal 2010 sales were down 3% and estimated deflation was 3.5%. As Ken just mentioned, deflation appears to be moderating from highs we saw earlier in the quarter. Sales were also impacted by foreign exchange rates which increased sales by 1.2% and the impact of acquisitions which increased sales by .6%. While case volume remained negative early in the quarter, it turned positive towards the end of the period. Operating margin in the second quarter improved to 5.2% from 4.6% last year, a 60 basis point improvement. In addition, operating costs were lower in the second quarter by $96 million. Ken walked through the main drivers earlier and I’d like to give you the numbers in a little more detail now. The decline in operating cost is primarily due to a $37 million benefit from the year over year change in value related to the performance of COLI and a $25 million decline in payroll expense. Operating expenses also improved by $29 million due to lower fuel expenses. However, fuel surcharges which are reflected in gross margin were also lower during the period, offsetting most of the benefit from lower fuel expense. Net earnings for the second quarter increased 12.9% to $268 million. Similarly the EPS for the quarter increased 12.5% to $0.45 per share. The $0.45 per share includes a $0.01 favorable impact related to an increase in the cash render value of COLI compared to $0.40 in the prior year which included a $0.05 negative impact from COLI. Turning to a brief update on our business transformation initiative, you’ll recall that at our investor day in December, we shared with you our expectation that the incremental impact of this project would decrease diluted EPS in fiscal 2010 by an estimated $0.05 per share. The project remains on track and our expectations have not changed. Cash flow from operations for the first half of the fiscal year was $144 million compared to $562 million in the prior year period. Cash flow from operations was impacted by IRS settlement payment which totaled $422 million in the first half of the year. Additionally, cash flow in the first half of last year was impacted by the timing of certain other tax payments. Last year in the second quarter we were allowed to defer approximately $280 million in tax payments until the third quarter which was a benefit allowed the Houston area companies in the wake of Hurricane Ike. As you would expect this year we were not afforded the same deferral and the net effect causes our tax payments this year to appear significantly greater than last year. In closing, I would like to thank all our associates for their hard work during the second quarter and for your interest in Sysco. With that, we’ll take some questions.
Operator: (Operator Instructions) Your first question comes from John Heinbockel – Goldman Sachs.
John Heinbockel – Goldman Sachs: What’s been the trend this quarter, last quarter in average drop size?
Kenneth Spitler: It’s declining slightly.
John Heinbockel – Goldman Sachs: That’s obviously deflation weighing on that. Do you think it’s not down as much as deflation because you’re seeing some weaker guys drop out and that’s raising the average?
Kenneth Spitler: I don’t know about the weaker guys part but I think it is pretty much deflation.
John Heinbockel – Goldman Sachs: So it might be down as much as the rate of deflation you’re seeing.
Kenneth Spitler: Yes.
William DeLaney: I think our guys are doing a good job. Our folks are doing a good job managing the pieces given there’s still a lot of pressure in the marketplace obviously.
John Heinbockel – Goldman Sachs: When you think about incremental profit margin on something like that as you go from 3% deflation to zero or a little bit positive, the incremental margin on that has got to be fairly high. Have you looked at what that might be? It’s got to be double digit I would imagine, maybe even higher than that.
William DeLaney: We really don’t look at it like that. What we look at is more along the lines of your first question. The key economic metric for us is gross profit dollars per stock and as long as we can manage that even through these difficult times when the penetration was off some and pieces were down, if we can somehow compete to minimize that loss of pieces, obviously price our products appropriately, that’s what we do and generally that usually ends up to get results for us.
John Heinbockel – Goldman Sachs: ERP costs or business transformation costs, what was that? Do you have that for the first half of the year that we can back into the second half?
Chris Kreidler: I’ll preview a little of what you’ll see in the 10-Q. As we’ve said in December, the total cost of the project was $900 million. We expect that the total spend in 2010, or we do expect now to be somewhere between $250 million and $275 million. The first half we spent approximately one-third of that and so the rest will be in the second half of the year. The capital portion of that $250 million to $275 million is estimated to be about $160 million to $175 million. So the incremental impact from business transformation we expect to be $40 million to $50 million which would be a reduction in operating income this year. That’s our $0.05 a share that we previewed in December.
John Heinbockel – Goldman Sachs: Would the OpEx part of that also be one-third/two-thirds split?
Chris Kreidler: It’s roughly correct, yes.
John Heinbockel – Goldman Sachs: What’s the environment right now? I imagine it hasn’t changed much since December, but the environment acquisition wise, is there much difference domestic versus international?
William DeLaney: The focus is more domestic right now. I would say to you we continue to try to develop relationships where that makes sense. I would say to your point that the environment is not much different. I would say also, our environment continues to be very proactive. We’re looking at as much as we can. We’re not waiting for the calls to come in. But I think it’s still, characterize it as an environment where if you don’t need to sell your business right now, you’re probably not going to be overly interested in doing that. But the problem is more quality of asset as opposed to price. Price was the problem in the past. That all comes together once you’re talking to people but I think right now folks, they’ve got earnings pressure. That’s not necessarily a great way to start negotiation in terms of applying a multiple. Maybe there’s just an element that everyone is so focused on running their business right now that they don’t really look at it that way, but I think it will pick up. We’ve been saying that for awhile. We’ve been disappointed that we haven’t seen more activity, but I can tell you internally, we’re tightening up our process and making sure that we are exploring things that make sense.
Operator: Your next question comes from John Ivankoe – J.P. Morgan.
John Ivankoe – J.P. Morgan: I was wondering if you could illuminate the comment that your case volumes have stabilized towards the end of the second quarter. On the casual dining at least on a reported basis, you stayed very weak, traffic down approaching 5%. QSR from what we understand got worse in the fourth quarter relative to the third quarter. So if you could give us a little bit of a look through in terms of what types of accounts you have, restaurants or other business that’s doing really well from you and if you could also put that comment in terms of how much of the stabilization and sales trends is just from the fact that you’re taking much more share per account.
Kenneth Spitler: I think the question is how did the quarter look for us in terms of increasing our cases through our operation and sequentially it got better as we went along to the point of December was relative to the rest of the environment, pretty good month where we saw a nice little bump in cases. That hits the rest of the question which is how does it look in January and we’re still seeing positive cases, but it’s declined from the December numbers. So we’re still optimistic because it generally does that anyway, so it’s following kind of a standard pattern if you will. But the good news is it’s still positive. As far as there are still closures going on in the restaurant business? You’re still seeing certain parts of the industry that you know about that are declining in case sales. Part of our business too is not related necessarily to the restaurant business which is health care is no pun intended, quite healthy and growing and of course our institutional business, the schools and those kinds of things have maintained their sales. The other part is, yes, I think we are taking share. It’s still one of those difficult questions to answer for you because it’s hard to sort out declining cases in certain customer bases and where you’re gaining share in other cases. So it’s really hard to sort out. It’s just that at the end of the day, the real measurement that we’ve got to us is we are increasing our cases, and the answer to that is yes.
John Ivankoe – J.P. Morgan: If you wouldn’t mind, can you even look through a little bit more especially on your Boardlines business? Is there geography specifically that’s doing very well and is there a type of account within Broadlines perhaps in restaurants that’s doing particularly well, especially relative for example the first quarter?
Kenneth Spitler: We’re still continuing to have a rough go in the Midwest and in the Florida area and somewhat on the Southern West Coast, so that kind of remains the same. The Southwest is doing pretty good. The Northeast is holding its own. Northwest seems to be holding its own. Within the category of restaurants, it seems to us that the family style restaurant, the restaurant that is value driven is doing pretty well right now and the top end is still suffering, meaning $100 meal and up kind of places are still trailing pretty badly.
Operator: Your next question comes from Mark Wiltamuth – Morgan Stanley.
Mark Wiltamuth – Morgan Stanley: If you look at your head count reduction of about 4% how much of that do you think will hold when we start coming out of things and volumes really start picking up? It seems to me like you’re going to have to add back some bodies when the case volume starts picking up.
Kenneth Spitler: We’re already starting to add bodies in terms of the sales force. Sequentially we’re up, I was looking at the number, it’s about 75 to 100 we’ve added sequentially over the last few months. So yes, we’ve already started adding back sales people because we think that the environment is right for us to start continuing to leverage to grow sales. Then, it becomes a matter of, we have improved some productivity. We’re still improving productivity. It’s not going to be a one for one bring back, although it does have a lot to do with cases. To tell you I have that exactly in mind, but I can tell you this, that we will be a leaner organization as the sales start to grow because as we’ve been forced by the environment, we’ve gotten a lot more productive. When you have an error rate in our business of one in 1,800 and then you, just in the last some ’08 to ’09 to 10, we’ve gone from 695 cases to 701 to 722. Those are all the kind of things that you don’t back up on. You don’t need to back up on. Continuous improvement, your cases per man hours, those are big numbers to us and we’re getting improvement on those. Just because the economy gets better those numbers don’t go down. So we’ve really been in some ways forced to do, to get better faster, and we’ve still got a lot of initiatives out there that we talked about in December to really improve our productivity. So long story short, I rambled a little bit. I’m sorry but these improvements are sticking.
Mark Wiltamuth – Morgan Stanley: If you could just give us a little snapshot, you talked a little bit about share and which segments are doing better or worse and parts of the country are doing better or worse, but how is the price competition out there right now and what are you seeing in that regard?
Kenneth Spitler: It’s tough. Very aggressive competitors on the price front. That’s not our first rodeo there of course. We’re used to being the market leader so we’re used to staving off price attacks. It’s been a lot more frequent and of course the customer base gets a little more upset, so we’ve had to be cautiously defensive about that but there’s definitely an uptick to it.
Mark Wiltamuth – Morgan Stanley: Have you generally been matching where you’ve been meeting competition?
Kenneth Spitler: I wouldn’t say we always match the price, but that’s a waterfall that you don’t want to go over but we’ve found ways to hang on to our business without destroying our margins which is no mean trick.
Operator: Your next question comes from Ajay Jain – Hapoalim Securities.
Ajay Jain – Hapoalim Securities: I wanted to back to the question about the improved case volume trends. If I understood correctly, it sounds like volume stabilized further in November and December relative to what you presented at the Analysts Day, so I’m wondering is there any read through for the Indiana RDC based on what you’re seeing right now? Are you close to a decision there?
Kenneth Spitler: We’re pretty close. What we’d like to see, as you know, our business, we make this quarter in March and if we continue to see good paced growth through March, we’ll feel very comfortable about going forward. We couldn’t put a shovel in the ground in Indiana right now anyway so I will feel comfortable after we see the March numbers and the quarter numbers. I feel pretty comfortable that we’re going to go forward with it, but we’d like to see those numbers stabilize. We need positive cases to make the RDC go around and we won’t build it until we see it.
William DeLaney: I just want to clarify something in terms of how you caveat that question. I would say to you that the volume trends we’ve seen since the Analysts Day are very consistent with what we talked about. We were starting to see that uptick in late November and December, very mild and modest, and that’s how it stands. But to Ken’s point, this is a unique quarter and until we get in March, it’s really hard to draw any conclusions.
Ajay Jain – Hapoalim Securities: On the improvement in comparisons for bad debt expense, my question is whether that improvement is a function of the operating environment just getting better or if there is something specific that you’re seeing with your customers in terms of their credit quality?
Kenneth Spitler: We manage the credit the same way we’ve managed it for 35 years, so we have just been very careful and cautious. I can’t really tell you whether it’s, I think we have good customer quality at Sysco and that’s one of the things that you’re seeing in our write offs is that our customers have managed their businesses pretty well too.
Chris Kreidler: I think if you look at least year you’ll see the third quarter we really took a pretty substantial hit by our standards so we go up against that this quarter. So again, our folks do a good job managing credit. We’ve been fortunate. Part of that is customer quality. We haven’t had any big hits and hopefully that will continue, but I would still tell you it’s still pretty fragile out there.
Ajay Jain – Hapoalim Securities: On the head count reduction, I wanted to clarify one thing. It sounded like you’re hiring more sales people so I’m just trying to reconcile the additional head count in marketing associates that Ken talked about with the decrease in payroll costs that you just reported. Should we infer that you’re adding more customer contact personnel but lowering head count in other areas of the company?
Kenneth Spitler: Not necessarily, no. It’s sequential first of all. We’re still down from over a year ago, but it’s strictly marketing associates that we’re adding.
Ajay Jain – Hapoalim Securities: I’m still trying to reconcile the delta. If your payroll costs are down year over year, you’re saying that’s all marketing associate driven?
William DeLaney: No, what we’re saying is we’re down year over year in head count including in sales, and down in payroll. And then what Ken was saying earlier is that as we’re managing the business going forward sequentially, we’re beginning to add sales people. But we’re still down in sales people year over year. So that’s consistent with the payroll number.
Operator: Your next question comes from Meredith Adler – Barclays Capital.
Meredith Adler – Barclays Capital: Could we talk a little bit first about fuel? I know that you had less fuel costs but also less fuel surcharge. The fuel prices are starting to go up again. Can you talk a little bit about how you think that plays out for the rest of the year?
Kenneth Spitler: We of course are very conservative about how it plays out the rest of the year. Everything that we’re seeing and reading and being coached on tells us that what we’re seeing about as a barrel price right now is about what we can expect the rest of the year so we’re not looking for any big increases.
William DeLaney: We still have some forward contracts out there, about a third.
Kenneth Spitler: We have about 40%. So we protected as much as we think we need to. So again, we’re not diesel experts, we’re just trying to make the year over year comparison flat. But again, who knows? So our prediction from our experts that we rely on next year is going to relatively flat.
Meredith Adler – Barclays Capital: And the fuel surcharges would come back into place if they needed to?
Kenneth Spitler: They could at a certain level. We don’t see that being triggered at this level.
Meredith Adler – Barclays Capital: We haven’t spoken about pension costs in a long time, but is there anything to comment on there? Is pension expense up meaningfully this year over last year?
Kenneth Spitler: In the K we detailed what pension expense would be for the year and we’re on track on that. We don’t have or foresee any significant multi-employer pension employments at this point, and as you recall we took a write off or write down on that last year I believe in the third quarter. It’s about $8 million to $9 million a quarter.
Meredith Adler – Barclays Capital: I’d like to go back to the question of the promotional environment. I’m just wondering whether the gross margin ended up being pretty much in line with what you had expected for the quarter. You did have a pretty good gross margin performance last quarter, but we’re about flat this quarter. Was there a surprise in that to you or was that in line with your expectation?
William DeLaney: I’d say it’s in line with our expectation given Ken’s characterization of the market which is extremely competitive out there. It remains that way and I think we’ll be fighting margins here for awhile.
Meredith Adler – Barclays Capital: Just to go back to what Chris was saying about the business transformation process, I think I’m a little thick this morning. The numbers that Chris, you talked about the $900 million and that’s both CapEx and operating expenses and then you gave specific numbers, and I was just trying to make sure the numbers are $250 million to 4275 million in the first half. Is that a combination of CapEx and operating expenses?
Kenneth Spitler: Let me go back through it just to make sure we’re clear. If you recall back in December, we said $900 million was the total cost of the project, both capital and operating expense. We also shared a bar chart that said that we expected 2010 to be about $275 million. We are now saying, you’ll see this in the Q, we expect that to be a range of $250 million to $275 million for the year. So that’s both operating expense and capital. The capital portion of that we expect to be $160 million to $175 million. That’s the full year number. And then we gave the breakout, we spent about one-third of that to date and roughly a third both on the capital side and the operating expense side, so the remainder will be in the back half of the year.
Operator: Your next question comes from Andrew Wolf – BB&T Capital Markets.
Andrew Wolf – BB&T Capital Markets: On the expenses with the SAP and the transformation project, $100 for you is roughly about $0.10 a share. Does that mean you had $0.05 in there last year? I’m also having a thickness issue with your numbers.
Kenneth Spitler: Again, not a thickness. It’s a new topic. We haven’t talked it about a lot so we know that there’s going to be some education process here. We use the term incremental not to mean year over year. As we discussed in December, we put a lot of folks that were already here at Sysco onto this project, I think 312 was the number that we talked about in December. So those people were in our run rates, our expense run rates last year. Those folks are now working on the project. So when we talk about a $900 million project, that’s the total cost including those people, but those people aren’t incremental expense. So when we talk about year over year, that was the number I gave earlier, we expect the expense year over year to be about $40 million to $50 million additional.
Andrew Wolf – BB&T Capital Markets: So there was already, let’s use $100 million as a round number. You’re already spending $50 million to $60 million.
Kenneth Spitler: Round numbers, that’s about right. We’re now looking at all the outside folks that we’ve had to hire to bring in to manage the projects.
Andrew Wolf – BB&T Capital Markets: The tax rate, is that swinging around just on the COLI?
Chris Kreidler: Primarily COLI and the tax settlement if you’re looking at the first half. Tax settlement obviously affected the tax rate to the tune of I think 300 basis points, 320 basis points. And then COLI which is not deductible for income tax purposes affected it both this year and last year different directions.
Andrew Wolf – BB&T Capital Markets: On the consolidation side, I read a recent news story out of Michigan where this company up there, Clark Food Services apparently closing one of their DC’s. It looks like they’re doing an orderly liquidation and just sort of Sysco is coming in and servicing those customers.
Kenneth Spitler: We were the white knight here. It was an orderly shut down at best.
Andrew Wolf – BB&T Capital Markets: You had referenced that, as an industry leader you have a certain responsibility and I understand that, but what I really want to know, I assume in the long run getting these customers is probably a good thing. Is this kind of liquidation something you think is a one off or is this something that if the environment doesn’t pick up that we might see some more of?
Kenneth Spitler: I think we’re going to see some more of it. They just run up to the post here and it’s over. They do care about their employees. They want a little help with their inventory. We can do all of that for them and are glad to do it. It’s good for us. It’s good for them.
Andrew Wolf – BB&T Capital Markets: So on consolidation, it kind of looks like if things don’t get better, this could happen and if things got better, Sysco might hit the bids on some improving businesses? Is that somewhat a realistic way to look at how consolidation could influence you?
William DeLaney: I’m not sure I understand that question.
Andrew Wolf – BB&T Capital Markets: If the environment gets better and these reluctant sellers, their EBITDA goes up, it would be easier to buy them.
William DeLaney: We certainly hope so, and like I say, we have antennae’s up and we’re doing what we can do but they’ve got to get to a point where they want to sell their business and negotiate in a reasonable way and as Ken said, sometimes these types of deals you’re talking about right now are sometimes they just ran out of shoes at the finish line. It’s not always protracted discussions.
Andrew Wolf – BB&T Capital Markets: On deflation, has it switched to inflation yet overall and can you give a little bit of a category flavor?
William DeLaney: It hasn’t switched. It continues to moderate and categories would be in terms of deflation, the ones that are driving up to this point, would be dairy, beef, that type of thing. Going forward, some of this what we’d like a lot of these numbers, you’ve got to wrap some numbers here pretty soon, so we would expect the dairy deflation pressure to ease and beef is probably a harder one to call. On the supply side there is not oversupply but the demand continues to be weak and that seems to be keeping those prices under pressure. So we’ll have to see there. So we’re hoping to see a continuation of the moderations if you will and at some point see some mild inflation. But it’s hard to call.
Kenneth Spitler: We’re not sure of the timing but from our merchandizing folks, them talking to the manufacturers, there is a feeling and a prediction of inflation to come and most significantly big areas of beef, pork, poultry, dairy. So that would be good news for us. I hope that’s right.
William DeLaney: Again when you start talking inflation, especially in this environment, the best scenario for us to two or three points. We certainly wouldn’t be saying to return to where we were a year and a half ago where it was six and eight points because our customers have enough challenges as it is without that.
Operator: Your next question comes from Gregory Badishkanian – Citi.
Gregory Badishkanian – Citi: Just a questions with respect to discounting by your customers, how has that changed versus last quarter? Any particular segment discounting either less or more heavily when you look at QSR versus casual dining chains versus independents?
Kenneth Spitler: It’s coming from all fronts. We even are getting some pressure on the chain business, so it’s everywhere.
Gregory Badishkanian – Citi: I’m thinking more your customers discounting to the end user.
Kenneth Spitler: I don’t think it’s any more or less than what we’ve seen in the past.
William DeLaney: I think our customers are getting smarter on the discounting; where it works in some form or fashion. There have been some other people out there that tried some things that they haven’t gotten a return for.
Gregory Badishkanian – Citi: You also spoke about productivity which you’ve done an amazing job over the last two years or so. Obviously you’re hiring a few more people back but what’s the real opportunity there to cut costs so that you can improve efficiencies further in 2010 calendar versus what you did in calendar 2009? Or have you basically taken up all the low hanging fruit?
Kenneth Spitler: Well none of it is low hanging. It all takes a lot of work and we still have plenty of room out there to improve and we’ve still got 10 initiatives prior to the installation of our first SAP that we want to finish that will give us another pretty significant boost in our productivity. Just to give you an example, we’re going to continue to run on our Swim’s platform which is our operating system in the warehouse as opposed to SAP’s so we have an initiative out there that is a best practices initiative. It’s all I call it switch driven, but doing certain things a certain way and all of our operating companies within three months are going to go best practices. So we’ll have that finalized in July. We should see a really nice uptick across the board for productivity. So again, we have 10 of those out there. That’s just one of them. So to say that we’re all done is not true. We’ve still got lots of room. We’ve still got lots of improvement. There are some definitive spots where we run up against, physically we’ll probably be able to get to about our 750 to 760 cases per truck and then you run out of room. But there are lots of other productivity measures that we continue to increase on and continue to have room to do.
William DeLaney: I think when you read the Q you’re going to see the tone on this issue is just what Ken said, we certainly see room for improvement. There’s a lot going on. The rate of improvement is not going to be what you’ve seen over the last 12 to 18 months.
Kenneth Spitler: Keep in mind too that most of these are case driven and we’ve got cases going down. You get some case improvement you get some improvement just by the nature of the math. So we’ve got headwinds all over the place and still improving.
Operator: With that there are no other questions in the roster so we thank you for your participation in the Q&A session and for joining us today. That will conclude today’s conference call. Have a good day and thank you for joining.